Operator: Good morning. And welcome to the Rayonier Advanced Materials Second Quarter 2019 Earnings Conference Call. During today’s presentation all parties will be in listen-only mode.  As a reminder, this conference is being recorded. I would now like to turn the conference over to your host Mr. Mickey Walsh, Treasurer and Vice President of Investor Relations for Rayonier Advanced Materials. Thank you. Mr. Walsh. You may begin.
Mickey Walsh: Thank you, operator, and good morning, everyone. Welcome again to Rayonier Advanced Materials second quarter 2019 earnings conference call and webcast. Joining me on today's call are Paul Boynton, our Chairman, President and Chief Executive Officer; Marcus Moeltner, our Chief Financial Officer and Senior Vice President of Finance and Frank Ruperto, our Senior Vice President of High Purity and High Yield Cellulose Business Strategy. Our earnings release and presentation materials were issued last evening and are available on our website at rayonieram.com. I'd like to remind you that in today's presentation, we will include forward-looking statements made pursuant to the Safe Harbor provisions of federal securities laws. Our earnings release, as well as our filings with the SEC list some of the factors, which may cause actual results to differ materially from the forward-looking statements we may make. They are also referenced on Slide 2 of our presentation material. Today's presentation will also reference certain non-GAAP financial measures as noted on Slide 3 of our presentation. We believe non-GAAP financial measures provide useful information for management and investors, but non-GAAP measures should not be considered an alternative to GAAP measures. A reconciliation of these measures to their most directly comparable GAAP financial measures are included on Slide 15 through 18 of our presentation. I'll now turn the call over to Paul. Thank you, Mickey, and good morning, everyone. First let me just recognize the changes we made to our senior leadership team in June and introduce Marcus Moeltner, who was promoted to Chief Financial Officer. I've worked closely with Marcus since he joined the company two years ago through the Tembec acquisition, initially overseeing corporate development which has been focused on our ongoing portfolio optimization review, including the recently announced sale of McCann  Not only does Marcus bring a 30 year career in finance and forest products, but he has a breadth of knowledge of our businesses, strategies, assets and financial drivers that make him ideally suited for the CFO role. So welcome Marcus. And as you know last quarter was Frank Ruperto last earnings call as CFO. In addition to leading our finance and strategy group, which was pivotal to the company's successful cost transformation and subsequent acquisition and integration of Tembec, Frank was a key part of our developing, our go to market strategy. He is very purposely spent significant time over the past five years with our customers developing those key relationships and as a result I'm excited about the experience and strength he brings to his new role as Senior Vice President of our High Purity and High Yield Cellulose business.
Marcus Moeltner: Thank you, Paul. Staying on Slide 7. I will start with a bit more detail on our covenants. As a reminder, our key covenants are tied to our senior secured credit facility which includes $599 million of term loans and a $250 million revolver of which $50 million was funded at the end of the quarter. These debt agreements are not set to mature until November 2022 for the revolver and $160 million of the term loans with the remaining $439 million dollars of term loans due in 2024. As of the end of the second quarter, we are in compliance with both of our financial and maintenance covenants. Net secured leverage is at 2.8 five times compared to a covenant of less than three times. While interest coverage is at 3.79 times versus a covenant of greater than three times. Note that in both cases covenant EBITDA adds back or deducts certain non-cash or onetime expenses such as stock compensation and restructuring charges compared to our reported adjusted EBITDA. Secured debt includes all of our outstanding debt except for $496 million of senior notes which mature in 2024. Next, I will provide an overview of the quarterly results focusing on net sales and EBITDA and an outlook for each of our business segments. As outlined on Slide 8. High Purity Cellulose sales decreased by $16 million, driven by a 1% decline in cellulose specialties sales price, due to Chinese tariffs, sales mix and the sale of the resin business in 2018. This was partially offset by 9% higher commodity volumes.
Paul Boynton: Thank you, Marcus. As you can see, we are facing a number of significant market related headwinds, particularly in our commodity businesses. In the context of this environment we are diligently focused on maximizing our liquidity, running our business as efficiently as possible, generating free cash flow and ultimately reducing our elevated leverage to sustainable levels. While we expect to amend our debt covenants in the coming quarter, we continue to proactively evaluate other ways to improve our financial flexibility. Certainly, one of our strategic initiatives, portfolio optimization, which has led to the sale of the Matane facility to a strategic buyer, not only narrows our focus to our core HPC business and mitigate some commodity volatility, it also better positions us to reduce net debt and improve leverage ratios. Additionally, we are fully focused on all of our controllable actions, including very actively managing working capital, reducing capital spending, curtailing un-performing assets and eliminating nonessential spending. We are confident in our ability to manage through these difficult times and we know the company will be much stronger as a result. Operator, please open up the call to questions.
Operator: Thank you.  First question is come to the line of Chip Dillon with Vertical Research.
Q –UnidentifiedAnalyst: Hi. This is Howard filling in for Chip. So my first question is you know, I'm trying to understand a little bit about the situation with the debt and the covenants, personally if I recall, last time the discussion was that – sorry, can you hear me?
PaulBoynton: Yes, go ahead.
Q –UnidentifiedAnalyst: Okay. I am sorry. The landline I guess was broke down. So, yeah, on the covenant side last quarter there was - we discussed that that old dent expense for I think $505 million in notes was a part of the covenants. And I think the slides what you're presenting now is missing around $90 million in the term loans, Canadian term loans. So what are we missing here, are the covenants actually based on less debt, at around $600 million less that than the total?
MickeyWalsh: Hey, this Miki speaking. So yes, there's this $496 million of senior notes that are not secured, our covenants are based off of a senior secured leverage ratio. That does include the term loans, the revolver that we left there on the page, as well as $90 million or so of what I’ll call Cogen  debt or debt related to the Cogen facility in Canada, as well as a few other small things such as capital leases.
Q –UnidentifiedAnalyst: Okay. So essentially – yes, it is these two types of debt has been $90 million, I'm just – as we're trying to think about. Okay, that's clear. Thanks. The second would be a little bit on how your covenants look given that your  you know you mentioned yield, that met process should be a very high amount of this $175 million, essentially even though you will be in breach of a covenants by September 30. That won't happen until you filed the 10-Q, I guess certainly in November, so that pretty much means there's a good chance you could be in compliance again with the covenants by the time the Q is filed even though technically you have to show a breach. Is that thinking correct?
MickeyWalsh: So look Sal, let me think if I understand your question. Well, first of all as we indicated in the call that we certainly have discussions ongoing and have had some ongoing with the banks around our covenants and we'll get the amendments that we need we feel confident that to continue running the business as we should. The sale of Matane which we think is a good sale not only us but also our partner Sappi in this occasion, is just helpful, I would think about it, it’s just helpful from a net debt and a leverage perspective. So I would think about it in those terms so, and you're right we should see the benefit of that in the fourth quarter.
Q –UnidentifiedAnalyst: Well, just elaborate a little bit. The ideas is when we kind reduce some back of the envelope math, it seems that you know given that you're getting a lot of proceeds you know as of September 30th you may not be in compliance, but as of December 31 you may be in compliance. So I know that that's not how the covenants work if you are breaching them, you are breaching them first, but obviously that could give you a lot of leeway during negotiations. The fact that this a very temporary breach, so that's what I'm trying to understand. Basically your projections following the sale would you have not reached a covenant or put it simply if it was taking place as of September 30 for sale, would you have breached covenants as of the end of 3Q?
MarcusMoeltner: Yeah, it's Marcus here. So to your question obviously given the downturn in the commodity markets that we covered in our call here you know, certainly we can't predict how long that might last. So this is all part of renegotiating a covenant package in the context of that runway of a downturn in the markets such that Matane proceeds and our overall business plan will be part of that discussion.
PaulBoynton: It’s really a function of that EBITDA against our covenant constraints rights that we talked about. So we're going to - obviously that's the challenge. And again if you look at the cash inflows from the Matane deal it's unrelated to that. So…
Q –UnidentifiedAnalyst: Sure. And just as we're looking obviously on cash flow, it's easier to kind of indication, I think you're still - you're working capital still use of cash in the first half, how should we think about the use – the working capital for the full year and how lows kind of the CapEx go, you did break it down $10 million, but I would imagine given what's happening it could go much lower, as you know, maintenance can be squeezed a little bit more?
PaulBoynton: Yeah. So let me take the second part of that, and I’ll ask Marcus on the first part. Just our capital investment, right. We indicated that and guided that will be down about $10 million from our original guidance so taking off 10 of that, how low can they go? A lot of that was spent in the first part of the year in terms of either spent or committed. So we only have a certain amount that we can pull that down for 2019 and because again all of our shutdowns maintenance have already occurred with the exception of one facility at Tartus in France. So that is yet to go. So we have some levers we can pull there in the short term and we will do that. And that's where you see that $0 million coming down. But again, we'll refocus that in light of where we are today as we look at 2020 planning.
MarcusMoeltner: And to your second part of your question on working capital, we still remain focused on improving our cash conversion cycle. We have established targets for our finished products inventory across the business segments and there's still some further work towards those targets. What you should make sure you incorporate in your modeling is obviously the seasonal build that will start on our log inventories as you look out into the September to December timeframe.
Q –UnidentifiedAnalyst: Thanks very much.
Operator: Our next question is from the line of Roger Spitz with Bank of America.
RogerSpitz: Thank you, very much and good morning. Just one clarification on Matane, is the deal, it says LTM on the slide, that’s $43 million, is that as LTM as of June. Was that LTM as of March?
PaulBoynton: No, that's LTM as of June. Correct.
RogerSpitz: Okay. You wouldn't have to have the first half ’19 EBITDA by chance?
PaulBoynton: First half ’19.
RogerSpitz: As far as that now. And I'll ask another question and come back.
PaulBoynton: Yeah, the first half - first half of ’18, right, you asked?
RogerSpitz: ’19.
PaulBoynton: Okay, yeah, ’18.
RogerSpitz: ’19. Oh, $18 million, I am sorry. Can you explain why you can't draw down further on your revolver currently? It looks like you have zero availability under - to draw under the revolver, if I read the press release correctly, maybe I read it incorrectly.
MickeyWalsh: Hey, Roger. Its Micky, again. At the end of the quarter we were right at that 2.85 times, so we'd be allowed to draw up to that three times at least at the end of the quarter.
RogerSpitz: And so you do have some availability under the revolver right now?
MarcusMoeltner: Yeah as long as you're able to make the rough that you're less than three times at the point of the borrowing, then yes, you're able to borrow.
RogerSpitz: That's why I thought, okay. I ought to reread the press release. Just coming back once on the CapEx. As a general matter, do have a number – figure in your mind for what is - what we refer to as maintenance CapEx and perhaps if it's a different number what a bare bones CapEx might look like on an annual basis, not nationally this year but just as in how you're configured today?
MarcusMoeltner: It's, Marcus. So for maintenance of business CapEx, you know steady state you should perhaps work with a number in the $85 million to $90 million range. And then obviously we would modulate that based on the cash flow performance of each business such that, you know just like in this example we took it down 10 initially to 7%, based on what we were seeing. And we continue to evaluate that.
PaulBoynton: So it would - Roger as you know these are these are large fixed assets that we're running, they do take and unfortunately quite a lot of capital investment and we're mindful of the fact that when you pull back capital you may introduce reliability issues and you can see as we noted in the past the expense of that as well. So it's a fine balance, but we're going to be looking at everything we can to kind of taper that back down as Marcus has indicated where the kind of a good run rate is for maintenance capital, but not everything needs to be done in the near term and so we'll look at pulling that back a bit and we'll give you better guidance for future periods somewhere that would be below that number that Marcus provided.
RogerSpitz: Sure. And do you have a sense of how much of the 85 to 90 maintenance CapEx would be Matane that would or Matane that would go away once you saw that…
PaulBoynton: You can work with a range of $3 million to $4 million.
RogerSpitz: And lastly, can you - if you haven't discussed it, talk about it, the Temiscaming two to three interruptions, was that related to the boiler issues you had spoken about in Q1 or was that a different issue?
PaulBoynton: It's more general reliability across the complex given the integrated nature of that facility.
RogerSpitz: Thank you very much.
Operator: Our next question is from the line of Steve Chercover with D. A. Davidson.
SteveChercover: Good morning.
PaulBoynton: Morning, Steve.
SteveChercover: So it's not that great, but look, figures speech. So starting with lumber, in my opinion that was actually the biggest source of the shortfall and you know I can't imagine you'd operate at cash negative levels if you didn't need the chips for your pulp and paper based operations. So can you operate them as more like chipping facilities?
PaulBoynton: So first of all, you're right, that was a big part of our negative, keep in mind, $5 million of that is guided was related to - if you were almost to a kind of a mark to market inventory write down if you will. So that was that was a chunk. You get that back in the future at some point if these prices rise. But - so that's part of it. Steve, no look, you don't operate in a negative environment like this and so as communicated we are you know moving forward and we'll be doing some curtailments of our facilities where it makes sense. Yes, we got to keep in mind the equation as well as providing chips to our facilities, but we have different levers we can pull, we can buy in from the outside, we can run intermittently down for a while and then come back up to get the chip supply. So we'll be pulling all those levers to what it does that make sense to run those lumber assets.
SteveChercover: Well, as I recall once upon a time in Quebec you had a paper mill, you had to produce lumber in order to get the chips. I mean is that rules still in effect?
PaulBoynton: Yeah. If you think about it this way, the rights to harvest and the cut usually are connected with a lumber facility, at least in our case they are. And so yes, you do need to get those chips, you need to run those facilities. Now as you know we've got lots of facilities and we also buy chips from the outside from other partners. And so we can again flex that runtime, we can flex our purchasing increase that and take greater downtime at our facility based on what the local chips supply is for our different facility. So we will do those things, but you are correct, that the lumber facilities are connected in with the harvest plans. And so you have to keep all that in mind and make sure that all balances. And we said that you know from the beginning, it's kind of the tricky part of the supply chain that we have in Canada is making all those connections from the forest to the lumber mills to our pumping assets.
SteveChercover: Okay. I'm kind of spit balling this question, but when you consider that historically the Canadians have received the overwhelming majority of the duties as refunds. Can you somehow factor that in you know get $0.80 cents on the dollar or something to that effect on the duties that you've paid?
PaulBoynton: It's a good spit ball Steve. I don't know if anybody out there that is willing to do that. I haven't heard of anything like that from past experiences. And Marcus is also nodding his head no. So – but, no it's a good question, but I'm not aware of anything like that.
SteveChercover: Okay. Then switching to Temiscaming, if half of the CS volume has been shifted elsewhere, by definition it's becoming more of a commodity mill. Did you actually decommission any of the capabilities the way you did with the C line at Jessup?
PaulBoynton: No, not so much. That facility is just ideally suited to run a commodity viscose across it. So the more volume we can put on there that is uniform commodity viscose, the higher efficiencies, the better throughput, the lower cost per tonne. So it is well set up to do that, and as again as we did all our analysis after the acquisition, we said you know that's the model we should run there outside of the microcrystalline cellulose, so we'll continue to keep there. And so we'll run it that way and you're right, it'll become more of a commodity product into the high purity cellulose area.
SteveChercover: But I was thinking at the extreme if it could be transitioned to a full blown commodity mill then it might also be considered non-core. If we are correct to assume that the true core business of  advanced especially cellulose?
PaulBoynton: Yeah, I see where you're going with that and I think look that's - that's an open thought. Again, the equipment that is available and invested in that facility even prior to Ryan was ownership was in such a way that is better suited for commodities. It's one of the struggles I think that that facility has had and it does not have the equipment that are in our other three facilities that make it ideally suited for a high purity cellulose specialty. So it's a good comment and it's not lost on us and that thought is certainly in front of us. But right now the goal is to make sure that we're just lowering our cost in that facility and running commodities against it is the best thing we can do.
SteveChercover: Got you. Okay. Final question, if I recall the cap newsprint mill was first quartile on the North American cost curve. So could you confirm that? Is it still the case?
PaulBoynton: Confirmed, it is still the case. It's still a low cost asset in a newsprint world. It's a tough market. We've talked about it. It's got secular decline associated with it, but - overall despite some operational issues that we've had it runs well and it's a low cost facility.
SteveChercover: I mean, it's up there geographically, but it should be one of the last ?
PaulBoynton: Yeah, it should be in the operating world continue to operate, there should be a lot of the facilities if the market comes to that - the drop out. And as we've seen they do - you tend to get one or two shutdowns a year in the newsprint facilities, but there's - you know, I think probably you've probably 30 plus newsprint facilities in North America that would come out somewhat in that order.
SteveChercover: All right. Thanks. You get back to the covenant negotiations.
PaulBoynton: Thanks, Steve.
Operator: The next question is from the line of John Babcock with Bank of America.
JohnBabcock: Good morning. I just want to start out, I guess you talked about, you know taking additional measures to reduce cost. I was wondering how much that is focused on the cash flow side of the equation. And then also how much of that is focused on you know, also just generally like what you’re seeing in costs across the rest system to offset some of these earnings declines?
PaulBoynton: Yeah. Again, just going back to the levers that we shared, the things that we can control that would be completely focused on, right. Obviously, one is around working capital management. So that of course that's receivables and our payables and we'll have a lot of focus on that. As we've already had focus on the inventories and we'll continue to maintain that. Drawing down that capital spend, that's certainly another one that certainly helps keep cash in the family curtailing these underperforming assets right, that stops the bleed more. We will be focused on that. And then we've got a lot of things we can pull on just on hey look, what's critical spending at this point time and what's not critical spending. And so the whole team will be focused on making sure that every dollar goes out is really for serving our customers and producing the best highest quality product possible. So those are the key levers we have John. And we'll be focused in on all of those and certainly some of those are again more one time balance sheet opportunities and others are just straight out improvements with the cash flow.
MarcusMoeltner: And just to echo Paul's comments, obviously working capital piece is something we can directly influence and has an immediate impact. So that's certainly a key lever that we will be focused on.
JohnBabcock: And is it possible to quantify the impact of curtailing the facilities. I don't know if you have any rough estimates at this point in time?
MarcusMoeltner: We don't have anything dollar wise that we're prepared to put out at this point in time John.
JohnBabcock: Okay. And then the next question is just on the high purity, I was wondering if you can provide a bit more detail on what's driving your reduced volume forecast there and in the past, you know I just remembered hearing that you had pretty good visibility to volumes for the year and so really just want to get a sense for why this mid-year revision so steep?
FrankRuperto: Yeah. John, it's Frank. You know, we typically do have very good visibility into it. Remember that we've moved roughly a percent or so which is about 6000 tons on 600,000 tons of CS volume, so we're not talking about huge shifts in volume here, but we continue to see - I point to two factors. One is given some of the trade issues in China we're seeing lower demand from domestic acetate customers being able to import into China. And then secondly the European automotive sector has backed up a bit here and we've seen that impact the filtration and tire court business. So we're not talking about huge volumes here to move at 1% or so and that's really what you're seeing and I think we've said before you know our contracts typically have some wiggle room plus and minus to some base volumes and we're within those plus and minuses.
JohnBabcock: Okay. And given that the declines you know it seems like are clearly expected to steep it in the second half. I mean, is it reasonable to anticipate the volume declines will continue through the first half of 2020 at a similar level?
PaulBoynton: You know, it's hard to tell what's going to happen in 2020, we're in the -as you know we're in our negotiation period in the second half of the year where we're setting both volumes and pricing for our products as we go out there. Now I've just referenced you to our go to market strategy, which is you know we have said that we are going to look at becoming less dependent on acetate and exiting lower margin business in that world and focusing on higher margin business and higher growth areas in it. So you may see some modest decline from that. But the goal is to improve margins gross overall gross margin as we do that. So - but again it's too early to tell John where this all comes out as we go into those discussions.
JohnBabcock: As far as the wiggle room though, I mean that that kind of 4% to 5% I guess for the year what was like prior on 7% or so maybe from the back half of the year. I mean is that when they make those adjustments. How long do those adjustments typically last for?
PaulBoynton: You typically - you know, the adjustments don't last, what I tell you as this the year goes on, we get more visibility into the order patterns. So typically we're 45, 55 or 40, 60 front end - back end from a volume perspective on our CS business. And so we're when we see those volumes coming out and they're lower in the first half we usually – that’s usually just normal seasonal. What we're seeing now though is actually some lower order volumes going in that roughly one 1% worse than the last time we came out. And so that's what we're factoring into that guidance today. In regards to you know the carryover, obviously you know the China trade issues and the weakness in the global GDP sector will impact how that overall shapes up as we go into the back half of the year as we go into 2020.
JohnBabcock: Okay. And just one clarification - issue on this, the volume impact, was that spread across multiple sectors or was that more concentrated?
PaulBoynton: I would tell you it was in the automotive sector and in this  sector.
JohnBabcock: Okay. So some more spread out?
PaulBoynton: Yeah.
JohnBabcock: Okay. And then the last question I had was primarily just on lumber, I mean realizations clearly came down pretty sharply there and it seems like even more so than the benchmark. You know was there any impact of pricing from clearing out your inventories?
PaulBoynton: Yeah, I mean I would say that certainly we e did move volume out as noted on the inventory side. You know, we took them within the range. Obviously, we didn't have any fire sales or anything like that. But you take the opportunity where you can and probably some of that herd on mix well a little bit out there. But if you look at the where our sales was relative to the change in the market indices, you will see a point or two perhaps decline more than what the market was and I'd say yes that was partly out of mix partly out of moving that incremental volume out.
JohnBabcock: Okay. Thank you. I’ll turn it over.
Operator: Your question is from the line of Paretosh Misra with Berenberg.
ParetoshMisra: Thank you. Yea, is there any other assets in the portfolio where you are in active dialogue with other parties in terms of selling it in Q3?
PaulBoynton: So you know we launched - thanks for the question, we launched this paradox  as you know earlier this year and talked about the time, our goal was to have this process evaluated - our assets evaluated in any kind of potential transactions out there announced by the end of Q2. Obviously, that slipped into to Q3 and we had a recent announcement. We are committed to closing this process by the end of this quarter. So we'd like to have whatever we can have. If there's anything more be announced and if not, we'll wrap it up. So that's our plan at the current time is to go ahead and have this wrapped up this quarter. And if there's anything else we'll announce it at that time. But we have nothing to pre-announced or - we're looking at all our commodity assets as you know.
ParetoshMisra: Got it. And then just in terms of closing the sale of Matane in Q4, is there any critical step, any kind of approval that you're waiting for any way you could expedite it?
MarcusMoeltner: It's, Marcus here. You know, we just have customary closing conditions, you know, everything that you would expect in a transaction like this.
PaulBoynton: I don't I don't think there's any significant hurdles out there Marcus that you'd say or unusual in any way right. So I think it's just a standard thing. But it still takes time as you know  just unfortunately these just have to go through and transfer all systems over and everything else and then just takes a little bit time.
ParetoshMisra: Okay. And then just the last one, how are you thinking about the operating cost structure in the second half of this year, mostly for the commodity part of the business, how is the raw material inflation in the second half versus first half and any opportunities to cut cost in any other segments? Thank you.
MarcusMoeltner: Yeah, it's Marcus. You know, as we alluded to in the call, we see our reliability improving. We mentioned the wood costs that are trending in the right direction. Given what's happening in the economy, we're seeing chemical pricing in our favor as well. So I think if you look at the key levers it's running to our operating rates, taking advantage of these chemical prices where we can and the wood costs that trend down.
ParetoshMisra: Thanks, guys.
MarcusMoeltner: You're welcome.
Operator: Our next question is from the line of Chip Dillon the Vertical Research.
UnidentifiedAnalyst: Hi, guys. Sal, here again. Have a couple of follow up questions. First one thing, you know, we discuss about pulp and lumber, especially lumber you know, your operating profitability is negative. Firstly, can you let us know, it seems to elevate - it seems elevated sales volumes were due to inventory sales you mentioned, how much was the difference between sales volumes and the productions for both lumber and high yield pulp?
PaulBoynton: In a quarter we moved volume of about %180 million feet, as we disclosed and that was up from around 150. So we did move the higher volume as we mentioned to focus on our inventory reduction targets.
UnidentifiedAnalyst: You know, we're trying to think about the operating costs and I think in lumber – sorry, I think in especially outside the high yield probability, a bit more elevated than we would think on a unit cost basis given your volumes, it seems there - you know you're simply not producing 100 million board feet into Q unless I'm wrong. So I'm just trying to get the understanding how much are you producing versus how much you're selling?
PaulBoynton: Yeah. In Q2 we produced across all our lumber mills 164, so others up you know, about a 20 delta to what we sold. Sorry on high yield pulp is your question?
UnidentifiedAnalyst: Yes. What was this number for pulp?
PaulBoynton: Yeah, we produced 135,000 tons versus the sales of 144,000.
UnidentifiedAnalyst: Okay. And just a little bit - you know broader picture you know you go to a number of questions about the sale of Matane, et cetera. You know, the fact of the matter is you are kind of in a difficult situation. You said you're trying to wrap up the asset sale program, but on one hand we have an enterprise value that I think we've referred to as well, right now it's probably $1.2 billion, $1.3 billion. And on the other hand you sell one middle – 475, it seems like if somewhat worse to evaluate you on an asset basis you know, your enterprise value would be much higher, your stock would be much higher. Does the sale of you know - does a bigger workout you know - a work kind of conversion opportunity like a sale of the entire company makes sense given you know where things are going?
PaulBoynton: Look, it's an interesting question, but let me just answer from the perspective of the value of our facilities. I agree with you 100%, they're worth a lot more than what our share prices is trading at right now. I think if you - again just keep in mind on the sale of Matane, to $175 million. That is a high yield facility that is not to be compared really to our cellulose specialties type of assets which would be much higher value in each one of them on a per tonnage basis. And so it's not quite compared - if that's what you're trying to do there. But I think the overall message on terms of the value of the company absolutely it's much greater than where our equity values certainly and it's trading at t this point.
UnidentifiedAnalyst: Yeah, exactly. That's the idea, you sold 4X  and yet you know that you have formulas that are much more available on a person basis. So if it comes to you know - I understand this all you have to do is amend the code announce and you know you continue operating, you have a lot of equity clearly, enough cash on hand, but if there's any bigger issue with the lenders, you know would that be an option to say hey, if we sell the company or you know you're getting everything shareholders get also - you get all your debt back and shareholders get a lot more than the kind of stock price?
PaulBoynton: Yes, Sal. We're not going to speculate on whether or not large transactions like that make sense. That's something that the board discusses time to time and evaluating its value.
UnidentifiedAnalyst: Okay. Perfect. Thank you very much.
Operator:  Your next question is from the line of Daniel Jacome with Sidoti.
DanielJacome: Hi, good morning. Thanks for the time. Just two quick questions. Can you talk a little bit more about these incremental reliability issues you saw at Temiscaming? I just wondering if you could quantify if there was any - material in the last days of production and then maybe you can isolate by where it was kind of like on the equipment chain, was it a chip or a digester, a boiler that was my first question.
MarcusMoeltner: Yeah, it's Marcus. You know, it didn't take the mill down. It just reduced the operating performance of the facility. So if you're looking directionally $2.5 million to $3 million of impact.
DanielJacome: Okay. That's very helpful. You don't have to take it down, you just kind of had some fixed cost deleverage and margin went sour for a short time it sounds like?
PaulBoynton: Again, when Marcus got the earlier question on this Dan, we kind of indicated that it's just broad reliability challenges at that facility, where we're trying to get them back to a much higher performance level. So they are across the board a bit. So we'll continue to work on the reliability there. We've got incremental teams up helping the local team on these issues and so we just thought you know we should note it. And Marcus put it out there that's in the range of $3 million type of issue for the third quarter. So not anywhere close to the earlier issue that we had in the first quarter, but we thought in the best interests of disclosure we just let you know that it still continues to be challenging for us.
DanielJacome: Appreciate that. And that brings me to my second question. I think on the same mill for May 2020 you're expecting some sort of closure to - or at least receipt of some finishing equipment that you needed to have that fully where you guys wanted it. Is there any update there or is it just kind of like that's still the expected date and would just be a wait see next?
PaulBoynton: Yeah, I think you're referring to you know the challenges we have with the number 10 boiler that we talked about in the first quarter. And yes, we've got her scheduled annual maintenance downtime for May of 2020. And at that time if needed we'll address these - we're prepared to address any bigger issues with that boiler then. But even at this point in time we're saying you know, overall, it's operating on that boiler with the changes we've already made in a much improved way. So we'll assess that at that point in time, but we've already had - went ahead ordered the equipment and have a standing by, if we do to make any change either at that time or before that time.
DanielJacome: Okay. Terrific, thank you the details. Good luck with the rest of third quarter.
PaulBoynton: And operator we probably have time for one more question or one more person.
Operator: Certainly. Our next question is from the line of Paul Quinn with RBC.
PaulQuinn: Yeah. Thanks, guys. Good morning.
PaulBoynton: Good morning, Paul.
PaulQuinn: I hear, you mentioned two significant multi-year contracts signed. Just wondering if those were on the specialty side and if you could give additional color on the magnitude of the increase?
PaulBoynton: Yeah. So I will tell you that the - they are on the specialty side. We don't want to get into the contract terms at this point Paul, but I would tell you that we were pleased with the outcome of those contracts both on a price and volume perspective.
PaulQuinn: All right. That’s all I had. And best luck.
PaulBoynton: Thanks, Paul.
Operator: Okay. Thank you. We’ve now reached the end of our question-and-answer session. I would like to turn the floor back to Paul Boynton for closing comments.
Paul Boynton: Yes. Thanks everybody for your time today. We appreciate the audience and we'll be in touch as we move forward.
Operator: This concludes today’s teleconference. You may disconnect your lines at this time. And thank you for your participation.